Operator: Good day, ladies and gentlemen. And welcome to the Ford first quarter earnings conference call. My name is Towanda, and I will be your coordinator for today. (Operator Instructions) I would now like to turn the conference over to Mr. George Sharp, Executive Director of Investor Relations. Please proceed, sir.
George Sharp: Thank you, Towanda, and good morning. Welcome to everyone joining us today either by phone or by webcast. On behalf of the entire Ford management team, I would like to thank you for taking the time to be with us this morning, so we can provide you with additional details of our first quarter 2014 financial results. Presenting today are Alan Mulally, President and CEO of Ford; and Bob Shanks, Chief Financial Officer. Also participating are Mark Fields, Chief Operating Officer; Stuart Rowley, Corporate Controller; Neil Schloss, Corporate Treasurer; Paul Andonian, Director of Accounting; Mike Seneski, Ford Credit CFO. Copies of this morning's press release and presentation slides are available on Ford's Investor and Media website. Please note that the financial results discussed today are preliminary and include references to non-GAAP financial measures. Final data will be included in our Form 10-Q and any non-GAAP financial measures are reconciled to the U.S. GAAP equivalent in the appendix of the slide deck. Finally, today's presentation includes some forward-looking statements about our expectations for Ford's future performance. Of course, actual results could be different. The most significant factors that could affect future results are summarized at the end of this presentation and detailed in our SEC filings. With that, I'd now like to turn the presentation over to Alan.
Alan Mulally: Thank you, George, and good morning to everyone. We are pleased to have the opportunity today to review our first quarter 2014 business performance, as we continue to move forward with the implementation of our One Ford plan. Let's get started and turn to the first slide, please. Our One Ford plan shown here continues to guide everything that we do. We continue to aggressively restructure the business to operate profitably at the current demand and the changing model mix. Accelerate development of the new products our customers want and value. Finance our plan and improve our balance sheet. And work together effectively, as one team, leveraging our global assets. Our commitment remains to serve customers in all markets with a full family of best-in-class vehicles, small, medium and large; cars, utilities and trucks, delivering profitable growth for all. Now, let's turn to Slide 2 to review a summary of our first quarter accomplishments. The company achieved its 19th consecutive profitable quarter in the first quarter with a positive operating-related cash flow and continued strong liquidity. Once again, the topline grew with wholesale volume of 6% from year ago and company revenue improving about 1%. We saw a higher market share in Asia-Pacific, where we achieved a record share in China. Among our business units, Asia-Pacific reported a record quarterly profit. North America, Middle East and Africa we're profitable and Ford Credit once again delivered solid results. Europe reduced its loss substantially compared with last year, but South America incurred a larger loss. This year we'll feature the most product launches in our history and we remain on track with the 23 global product launches we announced late last year. Overall, the company's results were solid, but the quarter was impacted adversely by several significant factors that are not representative of the underlying run rate of our business. Based on our solid start, we continue to expect the company's full year pre-tax profit to range from $7 billion to $8 billion. Our outlook for automotive revenue, operating margin and operating-related cash flow also remains unchanged. Before turning to the financial details, let's recap some of our other achievements from the first quarter. As shown on Slide 3, we revealed several concepts and products in the first quarter, including the all new 2015 F-150, Figo and Ka four-door concepts. The new 2015 Focus five-door and Wagon, and the new 2015 Expedition and Lincoln Navigator. We accelerate the momentum of our global transit line with the launch of the two-ton transit in Europe, the Transit Connect in U.S. and Canada and the Transit Custom in Australia. In Asia-Pacific, we expanded production of EcoSport to Thailand, making it the fourth plant globally to build the all new Urban SUV. We announced an investment of $168 million at our Ohio Assembly plant for production of the all new 2016 F-650 and F-750 medium-duty trucks, beginning in spring of 2015. Also in the U.S., we announced an investment of $580 million in additional 650 jobs to build a new 2.7-liter EcoBoost engine Lima Engine Plant in Ohio to increase production of Super Duty and Kentucky Truck. We also announced new automated driving research projects with MIT and Stanford University, as well as expansion of our Research and Engineering Center in Nanjing, China. And finally, in January, we increased our quarterly dividend by 25%, the second increase since restoring the dividend in January of 2012. Now, Bob Shanks will now take you through the details of our first quarter financial results.
Robert Shanks: Thanks, Alan, and good morning, everyone. Starting at the top on Slide 4, first quarter wholesale volume was 1.6 million units, up 92,000 units from a year ago. And revenue was $35.9 billion, up $300 million. Pre-tax profit was $1.4 billion, excluding special items $765 million lower than a year ago. After-tax earnings per share at $0.25 were $0.16 lower. Net income attributable to Ford, including pre-tax special item charges of $122 million was $989 million, which was $622 million lower than a year ago. Earnings were $0.24 a share, down $0.16. The pre-tax special item charges of a $122 million are for separation-related actions, primarily in Europe to support our transformation plan. You can find additional detail on Appendix 3. Automotive operating-related cash flow was $1.2 billion, our 16th consecutive quarter of positive performance. And automotive gross cash was $25.2 billion, exceeding debt by $9.5 billion. Our first quarter operating effective tax rate, which isn't shown was 38%. Consistent with prior guidance, we expect our full year operating effective tax rate to be about 35%. As shown on Slide 5, both of our sectors, automotive and financial services, contributed to the company's first quarter pre-tax profit. As shown in the memo, the year-over-year decline in company first quarter pre-tax profit is explained primarily by the automotive sector. Within automotive, lower results in North and South America were offset partially by an improvement of nearly $600 million from the other automotive regions. Compared with the fourth quarter 2013, company pre-tax profit was $63 million higher, more than explained by financial services. The key market factors and financial metrics for our automotive business in the first quarter are shown on Slide 6. Continuing this quarter, we will report global and total regional industry SAAR and market share data to improve transparency and reflect the markets covered by each of our automotive business units. As you can see on the far left and as already mentioned, wholesale volume increased by 6% compared with a year ago. Automotive revenue on the other hand was unchanged. The higher volume is more than explained by higher industry-volumes in all regions except South America, improved market share in Asia Pacific and a favorable change in dealer stocks. Global industry SAAR is estimated at 86.5 million units, up over 3% from a year ago. Ford global market share is estimated at 6.9% unchanged from a year ago. Operating margin was 3.4%, down 1.8 percentage points from a year ago, and automotive pre-tax profit was $919 million, down $724 million. Lower results in North and South America more than explained the change in both metrics. As mentioned the first quarter results include several significant adverse factors that we do not consider to be representative of the underlying run rate of our business that is shown here on Slide 7. In North America, these factors total about $500 million. They include a $400 million increase in warranty reserves for field service actions, which include safety recalls and other product campaign related to 2008 through 2013 models as well as expense for 2001 through 2005 model vehicles. We also experienced premium freight and labor cost of about $100 million during the quarter related to harsh winter weather in the U.S., which disrupted our operations as well as those of many of our suppliers. In South America, we saw significant currency devaluations across our major markets during the quarter. These are shown in Appendix 12. In addition to the operating effect of these exchange rate movements, we recorded charges of about $400 million related to the one-time balance sheet impact of these changes. Included is $310 million related to the Venezuelan Bolivar. In total, these factors reduced pre-tax profit by about $900 million for the equivalent of $0.17 per share. They also account for a year-over-year decline in company pre-tax profit of $700 million as shown in the memo. While similar factors could occur in the future, it's unusual for items like these to occur in this magnitude in the same quarter. Isolating these factors, provides a better understanding of what we believe to be the underlying run rate of the company and our North and South America business units. Slide 8 shows the factors that contributed to the $724 million decline in automotive first quarter pre-tax profit, including the items just reviewed on the prior slide. The year-over-year decline in automotive pre-tax profit can be explained fully by the warranty and premium weather-related cost in the North America and the balance sheet exchange effects in South America. All other factors effectively offset one another. Slide 9 shows the first quarter pre-tax results for each of our automotive operations as well as other automotive. Effective with this quarter, we're reporting results for Middle East and Africa, our new business unit that was formed to facilitate an increased focus on this important growth region. To allow comparison, we've revised prior year financials and physicals for each of our other business units to align with this new reporting structure. Total automotive sector bottomline reporting, of course, is not impacted by this change. You can find detail on the revisions and appendices '14 through '16. As you can see, North America reported a solid first quarter result, notwithstanding the factors discussed earlier, while Asia-Pacific's profit was a record for any quarter. Europe cut its loss by more than half from a year ago and by nearly two-thirds from fourth quarter 2013. The automotive operations outside North America improved $265 million from a year ago, notwithstanding the larger loss in South America, mainly due to the factors discussed earlier. The change in other automotive from a year is more than explained by unfavorable fair value adjustment of our investment in Mazda. For the full year, we now expect net interest expense to be about $700 million, a $100 million improvement from our prior guidance, reflecting higher interest income. Now we'll look at each of the regions within the automotive sector, staring on Slide 10 with North America. North America's first quarter pre-tax profit continue to be driven by robust industry sales, our strong product line up, continued discipline in matching production to demand and a lean cost structure, even as we continue to invest for future growth. North America wholesale volume and revenue declined 2% and 5% respectively in the first quarter. The volume decrease is more than explained by lower market share. This was offset in part by higher industry sales, including the U.S. SAAR of 16 million units that was 400,000 units higher than a year ago and a favorable change in dealer stocks. The decline in revenue mainly reflects the lower wholesale volume as well as unfavorable mix, lower net pricing and the adverse effect of a weaker Canadian dollar. North America operating margin was 7.3%, down 3.8 percentage points from last year and pre-tax profit was $1.5 billion, about $900 million lower than last year's record profit. The adverse impact of $500 million associated with the warranty of reserve and weather-related premium cost, as noted earlier, is worth 2.5 percentage points of operating margin. On Slide 11, we show the factors that contributed to North America's first quarter decline and pre-tax profit from last year. The deterioration is more than explained by unfavorable market factors and higher cost. The unfavorable volume in mix is explained primarily by planned reductions in daily rental sales and lower small car share, as well as unfavorable series mix and option take rates ahead of the launch of our new products. Net pricing is lower, mainly due to Fusion and Escape, which had very low levels of incentives a year ago due to the launch of these models. The higher costs are more than explained by the unfavorable $500 million related to the factors previously discussed. As shown in the memo, pre-tax profit was lower than in first quarter 2013 more than explained by unfavorable market factors, including higher incentive spending, unfavorable product mix and lower industry volume. Ford's U.S. market share trends are shown on Slide 12. Starting with the left chart, our total U.S. market share was 15.3% in the first quarter, down six-tenths-of-a-percentage point from a year ago, reflecting planned reductions in daily rental sales and lower small car retail share. Total F-Series share was unchanged from a year ago. Compared with the fourth quarter, our market share was down one-tenth of a percentage point. As shown in the right chart, our retail market share of the retail industry was 13.5% in the first quarter, down five-tenths-of-a-percentage point from last year, explained primarily by lower small car segmentation and share performance as well as F-Series. F-Series results reflect our disciplined approach to incentive spending, as we manage inventory ahead of the launch of the new F-150. Compared with the fourth quarter, our retail market share was down two-tenths-of-a-percentage point with losses on F-Series offset partially by Fusion and Escape. F-Series results reflect our disciplined incentive strategy as well as seasonal full-sized pickup segmentation trends. Turning to our full year guidance for North America, we continue to expect pre-tax profit to be lower than last year and operating margin to range from 8% to 9%. Now, let's turn to Slide 13, and we review South America, where we're continuing to execute our strategy of expanding our product line up and progressively replacing legacy products with global One Ford offerings. Now, however, we're also dealing with slower GDP growth in our larger markets, weaker currencies, high inflation along with political and social turmoil in some countries. In the first quarter, wholesale volume and revenue decreased from a year ago by 8% and 18%, respectively. The lower volume is more than explained by a 200,000 unit decline from last year's SAAR of 5.9 million units. This includes the impact of import restrictions in Argentina and lower production in Venezuela, resulting from limited availability of U.S. dollars. The revenue decline is explained primarily by unfavorable exchange and unfavorable volume and mix, offset partially by higher net pricing. Operating margin was negative 27%, down significantly and pre-tax loss was $510 million, a deterioration of $292 million. The balance sheet exchange effects discussed earlier account for about 75% of a quarterly loss. On Slide 14, we show the factors causing a decline in South America's first quarter pre-tax result from a year ago. The decline is explain by unfavorable exchange, higher cost, mainly associated with economics-related effects caused by high local inflation and lower volume, mainly due to the weaker industry. Although net pricing was substantial, including some pricing associated with new products, it was not enough to offset the currency and inflation-related effects. As shown in the memo, pre-tax results deteriorated compared with first quarter 2013, more than explained by unfavorable exchange. For the full year, we now expect South America to incur a larger loss than in 2013. Based on our present assumptions, we expect rest of the year to be about breakeven to a small loss. Let's turn now to Europe, beginning on Slide 15, where we continue to implement our transformation plan and remain on track to achieve profitability in 2015. Europe's wholesale volume and revenue improved from a year ago, up 11% and 18%, respectively. The volume increase is more than explained by higher industry volumes, reflecting a SAAR of 14.5 million units for the Europe 20 markets, up over 1 million units as well as favorable changes in dealer stocks and higher market share for Europe 20. The increase in revenue mainly reflects the higher volume and favorable exchange. Europe's operating margin was a negative 2.5%, an improvement of 4 percentage points from a year ago and the pre-tax loss was $194 million, a $231 million improvement. The first quarter loss includes $76 million of restructuring cost. Slide 16 shows the factors that contributed to the improvement in Europe's first quarter pre-tax results from a year ago. The improvement reflects lower cost, favorable market factors and favorable exchange. This was offset partially by lower joint venture results and royalties in Russia and Turkey, included in other. As shown in the memo below the chart, pre-tax results improved compared with first quarter 2013 with most factors favorable. Our European market share trends are shown on Slide 17. Starting with the left chart, our total first quarter market share for Europe 20 was 8%, up three-tenths-of-a-percentage point from a year ago, reflecting improved share from Mondeo and Kuga. Although, not shown on the chart, the commercial vehicle share also improved in the first quarter driven by the new Transit Connect, as we continue to rollout our all new commercial vehicle range. As shown in the right chart, our passenger car share of the retail segment of the five major European markets was 8.3% in the first quarter, down one-tenth-of-a-percentage point from the same period last year. Lower share reflects adverse segmentation changes, offset partially by improved performance for Fiesta and Kuga. We continue to focus on the quality of our market share and improving our sales channel mix, achieving a higher share of the fleet segment in the first quarter. We're very pleased with the start to the year by our operations in Europe and the progress the team continues to make in implementing our transformation plan, notwithstanding external headwinds in Russia and Turkey. As a result, our full year guidance for Europe is unchanged. We expect results to improve compared with 2013. Let's now turn to Middle East and Africa on Slide 18. In the first quarter, we wholesaled 51,000 vehicles in the region, 3,000 pure units a year ago. Revenue was $1.2 billion, a $100 million lower. The lower volume reflects lower dealer stock increases. The lower revenue was more than explained by the lower volume and unfavorable exchange, primarily due to a weaker South African rand. Operating margin was 4.7%, up 1 percentage point from a year ago and pre-tax profit was $54 million, up $7 million. Our full year guidance for Middle-East and Africa remains unchanged. We expect resulted to be about breakeven. Let's now review Asia-Pacific on Slide 19. Our strategy in Asia-Pacific continues to be to grow aggressively with an expanding portfolio of One Ford products with manufacturing hubs in China, India and ASEAN. As shown on the left, first quarter wholesale volume was up 32% and net revenue, which excludes our China joint ventures, grew 19%. Our China wholesale volume not shown was up 45% in the quarter. The higher volume in the region reflects mainly improved market share. The higher industry volume also contributed. We estimate the first quarter SAAR for the region at 38.9 million units, up 1.9 million units from a year ago, wholly explained by China. Our first quarter market share was 3.4%, seven-tenth-of-a-percentage point higher than a year ago. This was driven by China, where our market share improved nine-tenths-of-a-percentage point to a record 4.5%, reflecting continued strong sales at EcoSport, Kuga and Mondeo. Asia Pacific's higher revenue is more than explained by favorable mix and the higher volume. Operating margin was 11.1%, up 12.4 percentage points from a year ago, and pre-tax profit was $291 million, up $319 million. Strong results in China drove the region's record profit. The improvement in Asia Pacific's first quarter pre-tax profit from a year ago was explained on Slide 20. For the region, the improvement in profitability is more than explained by favorable volume and mix and the higher royalties from our joint ventures included in other. Higher costs including investment for future growth were a partial offset. As shown in the memo, Asia Pacific pre-tax results improved from fourth quarter 2013, explained primarily by lower cost. For the full year, we now expect Asia Pacific to earn a higher pre-tax profit than the year ago, improved from our prior guidance of about even. Let's turn now to Ford Credit, which remains, key to our global growth strategy providing world-class dealer in customer financial services, maintaining a strong balance sheet and producing solid profits and distributions. Slide 21 shows the factors that contributed to the largely unchanged result from a year ago. Higher volume, reflecting increases in nearly all products globally was largely offset by unfavorable residual performance in North America. As shown in the memo, pre-tax profit was higher than in fourth quarter 2013, explained primarily by favorable lease residual performance as well as lower operating cost included in other. These changes are consistent with normal seasonality. For the full year, we now expect Ford Credit pre-tax profit to be about equal to higher than 2013. This reflects improved financing margin performance. Our guidance for Ford Credit managed receivables and managed leverage and distributions to its parent is unchanged. Next on Slide 22 is our automotive gross cash and operating related cash flow. Automotive gross cash at the end of the quarter was $25.2 billion, $400 million higher than yearend 2013. Automotive operating related cash flow was $1.2 billion with favorable changes in working capital and automotive profit offset partially by unfavorable timing and other differences as well as net spending. During the quarter, we contributed $500 million to our global funded pension plans, down substantially from the last two years due to the recent improvements in the funded status of plans. Dividends paid in the quarter totaled about $500 million. Slide 23 shows that automotive debt at the end of the quarter was $15.7 billion, unchanged from yearend 2013. We ended the quarter with net cash of $9.5 and automotive liquidity of $36.6 billion, both $4 million higher than yearend 2013. Although, not yet included in our total liquidity, we are in process of amending and extending our corporate revolving credit facility. The facility which is presently $10.7 billion is expected to grow to about $12 billion. This will provide the company with additional liquidity as we expand our business globally and continues to show the great support we have from our global and growing bank group for the One Ford plan. Consistent with our capital and funding strategy, we've planned to allocate $2 billion to Ford Credit to support this liquidity. We expect to close this transaction later this month and will provide details in our first quarter 10-Q filing. This concludes our review of the financial details on our first quarter earnings. So with that I'd now like to turn it back to Alan who'll take us through our 2014 outlook for the business environment as well as our 2014 planning assumptions and key metrics. Alan?
Alan Mulally: Thank you, Bob. Slide 24 summarizes our view of the business environment for 2014. We project global economic growth to be in the 2.5% to 3% range and global industry sales to be about 85 million to 90 million units. U.S. economic growth is projected to be in the 2.5% to 3% range, with industry sales still supported by replacement demand as a result of the older age of vehicles on the road. Near-term conditions have shown signs of improvement after some weakness in January and February data. In South America, Brazil's economy is slowing due to high interest rates put in place to contain inflation. While the situation in Argentina and Venezuela remains volatile, with both economies facing unclear economic policy direction. In Europe, an economic recovery is underway. For 2014, we expect GDP growth of about 1% in the euro area and 2% to 2.5% in the U.K. The European Central Bank left its policy interest rate unchanged at 0.75% in April and indicated that it will keep rates low for an extended period. The Bank of England also indicated that it will keep rates low until economic growth reduces excess capacity in U.K. economy. And in Asia-Pacific, China's economic growth is expected to be slightly below 7.5% with several challenges, including excess capacity and excess debt. The government intends to be more focused on structural reforms and is willing to accept lower growth within a reasonable range of 7.5%. Growth in India is expected to improve modestly to about 5% from last year, as high inflation and high interest rates remain impediments to stronger growth. Overall, despite challenges in emerging markets, we expect global economic growth to continue in 2014. Slide 25, recaps the guidance disclosed earlier for all of our business units as well as for net interest expense. Other than South America, the guidance has improved or unchanged. Our company guidance for 2014 is detailed on Slide 26. We continue to expect full year industry volume to range from 16 million to 17 million units in the U.S. and China to range from 22.5 million to 24.5 million units. We now expect Europe 20 markets to be in the 14 million to 15 million unit range, reflecting improved economic growth prospects and replacement demand. In terms of our finance performance, we continue to expect automotive revenue to be about equal to 2013, automotive operating margin to be lower than 2013 and automotive operating-related cash flow to be substantially lower than 2013. This includes capital spending of about $7.5 billion to support new or significantly refreshed products and capacity actions. We now expect Ford Credit pre-tax profit to be about equal to or higher than 2013. And we continue to expect company pre-tax profit to be in the $7 billion to $8 billion range, as we continue to create innovative products such as the all new F-150. Overall, we expect 2014 to be a solid year for the Ford Motor Company in a critical next step forward and implementing our One Ford plan to continue delivering profitable growth for all. In closing, our One Ford plan is built on a compelling vision, comprehensive strategy and relentless implementation. Our One Ford plan continues to deliver profitable growth around the world and we are absolutely focused on building great products, creating a stronger business and contributing to a better world. We delivered solid results in the first quarter, despite several significant adverse factors that are not representative of the underlying run rate of our business and challenges in several important emerging markets. We remain on track in implementing our plan for full year 2014 including, continued strength from North America, although down from recent years, as we launched three times the numbers of products as in 2013; a loss in South America as we adjust to the changing environment and continued risk in Argentina and Venezuela; successful execution of our transformational plan for Europe, as we progress towards profitability in 2015, notwithstanding new challenges in Russia and Turkey; launch of our Middle East and Africa business unit; continue strong growth and profitability in Asia-Pacific; consistent solid performance from our Ford Credit operation; and positive automotive operating-related cash flow. Now, we will be pleased to take your questions.
George Sharp: Thanks, Alan. Now, we'll open up the lines for about a 45 minute Q&A session. We'll begin with questions from the investment community and then take questions from the media. Now, in order to allow for as many participants as possible within this timeframe, please keep your questions brief and please avoid asking more than two. Towanda, can we have the first question?
Operator: (Operator Instructions) Your first question comes from the line of Adam Jonas with Morgan Stanley.
Adam Jonas - Morgan Stanley: Two brief questions. First, on the Asia-Pacific margin 11.1%, pretty astonishing result. I think that's about at least 3x maybe the margin that the market expected. Can I give you a chance right now to kind of, say, hold your horses folks, please don't extrapolate this, consider the following headwinds that should keep us lower than that? That's my first question.
Robert Shanks: So I'll say hold some of your horses. We have improved our guidance, so we do expect the reason to contribute more positively than we did three months ago, because the performance is strong, and it's being driven by China and the great response that consumers are giving our products and our brands. So it is going to do better. I would not multiply times-four, which I think is just the question, Adam. And that's largely around the fact that we still have the six plants under construction. Some of them will be coming on stream later this year. I think two other ones come on stream in 2015. So as we get closer to launch of those facilities, the cost will increase, we bring people onboard, we start to train them before we start producing and that type of thing. The other factor is we've got Lincoln launching later this year. Of course, we're already incurring expense related to that. But as we get closer to the launch in latter part of the year, there will be more expense associated with that. So I think those are the caveats I would put on, but clearly the region is doing fabulously, and we think it's going to have a great, great year. And finally, we've been talking about and that's been kind of eking through a bit more quarter-by-quarter, we're starting to see the pay off of the big investments in the region.
Adam Jonas - Morgan Stanley: Second quarter on the F-Series changeover. Another chance for you to take this opportunity to tell us anything in the remaining quarters of the year outlook, particularly in the second half you're like from the 13 weeks downtime and the cadence that you've already talked about that you might say, please guys, this is complicated, a big, big change for us. Can you add a little more -- any chance you'd add any more caution in that second half outlook in North America for us or not?
Robert Shanks: Let me give a couple of comments first broadly and then Mark can comment further on F-Series. So one thing I would say, first at the company level, we had a solid start for the year and I'm sure we're going to get questions throughout the call on the Slide 7 and the factors that we showed as being sort of standouts, if you will, in terms of the size and factor all sort of occurring in the quarter. But we see the run rate of the business has been very healthy and very strong, both in case of total company, North America, I'd even say in South America, and you heard my comments about the balance of the year. Clearly, the first quarter is not indicative of what we expect in the balance of the year there. So the run rate of business is much healthier than what the initial view of the bottomline would see impacted. In fact, if anything, when you think about the emerging market issues, which are more intense than what we expected three months ago, we're observing that, and still think that business is going to deliver what we expected. And in fact, we're now trying to see elements of the business where we're changing the guidance upward. So I just want to give you that sense of how we're kind of seeing the overall business. In terms of calendarization of profits for the balance of the year, what I'll say is that we expect the rest of the year, the quarters to be substantially stronger than what we're seeing in the first quarter. And of course, things will fluctuate from quarter-to-quarter, but they should all be better than what we're seeing in the first quarter. And so Mark, you want to comment on F-Series?
Mark Fields: Overall, Adam, the preparations for the launch are going well and the team is very energized. We're going through, obviously the number of the production builds, but its going on plan. As we mentioned last quarter, we have three weeks of downtime of the '13 in the first quarter. And remember, we've mentioned that inclusive of that '13 was the summer shutdown week, so you can deduce what quarter that will be in. But clearly as we said, we got a manufacturing launch in the fourth quarter. So you can pretty much surmise where a lot of the downtime is going to be as we get the plan ready-to-go. But overall, when you stand back and look at our F-Series business, even with the existing model, our share is about the same as the full year for last year. We continue to run the plans, I think very efficiently. Our transaction prices are actually holding up very well, when you look at our transaction prices for '14 model a year, they're probably at the top of the segment of the under 8,500. So that business is going well. We're also looking at potential production opportunities for the existing F-Series in the remainder of this year. We have more work to do that could help us potentially get to the upper half of the margin range that we have for North America, but we have some work to do on that.
Operator: Your next question comes from the line of Brian Johnson with Barclays.
Brian Johnson - Barclays: Just want to focus on the China results and kind of two related questions. One, kind of, can you give us the outlook for Asia Pacific x China and just directionally is that getting better, about the same or worse? And then secondly, within China how much of your success is from CUVs versus the car line up? How do you feel about your CUV position competitively? And as you kind of bring this plans on board, how they're going to be split between producing CUVs and cars?
Robert Shanks: Brian, I'll handle the first one and then Mark will address the second one. So as I mentioned in the remarks earlier, the quarter's results were driven by China and I think that's both in terms of the year-over-year results and in an absolute. The rest of Asia Pacific is not as strong. It's not necessarily a drag on the business. But just sort of in a different place I think in terms of where we are in putting in place the big global production hubs that we're working on in India, and also in Thailand, so I think we'll see them start to contribute in a more positive way, a little bit after if you will the results that we're seeing now with China. Mark?
Mark Fields: On the second question, when you look at our share performance in China, as Bob mentioned upfront, it was actually -- it was a record for the quarter at 4.5%, which was up 1 point versus a year ago. When you look at some of the elements driving that to your point, when you look at the segment, the SUV, CUV segment in China, as an industry, it was up about 28%. Our sales were up almost 300%. And the reason for that was, all the products that we introduced last year, the EcoSport, we have the EcoSport, Explorer, the Kuga, so we have a full line up there, and that's been a really important part of our growth in addition to the car side of the business, which we've done very well with. And then when you look at the texture of that, a lot of our growth has been in the Tier-3 through six cities and that's been supported by our network expansion. And when you think of maybe some of the infrastructure around, it lends itself well to SUVs and CUVs. And actually the type of demographics of the customer that we're getting is very encouraging, in addition to the profile of the segmentation. We're getting younger customers than the industry average. And interestingly, depending upon the model lines, 70% to 90% of customers they're buying our vehicles. It's either a first-time purchase or an addition to the car in the household. So I think that bodes well for us going forward.
Brian Johnson - Barclays: So the CUV almost becomes the plus one car for the mass affluent in China?
Alan Mulally: Well, we're also doing well and we continue to do well with our Focus. As we said our overall sales in the first quarter were up 45%, so we're doing well of Focus. Fusion is doing very well there and the Mondeo is actually doing very well, Mondeo is the Fusion, so both of them. It's a combination of both, but clearly our full family of SUVs and CUVs has really helped turbo charge that.
Operator: Your next question comes from the line of Colin Langan with UBS.
Colin Langan - UBS: One, any color on, why the recall cost was so large within the quarter? I mean is it the nature of the repair. Just any color on why such a large recall cost is my first question?
Robert Shanks: This is a really important thing that we explain, so let me put in a little bit of a detail here. So first of all this is a warranty-reserve adjustment and I need to explain to how we at Ford account for field service actions. We use something that's called a pattern estimation model, so what that means is that every time that we sell a vehicle, we actually accrue a bit of reserve, if you will for field service actions that could happen in the future. So nothing specific in terms of a particular issue or problem, but based on history we expect that something could happen. So we reserve for that. And then what we do as we go forward in time, we then sort of top that reserve up or we might take it down, based on what we're seeing to changes in more recent history, if you will. I think we go back to about 2008s right now, so we don't go all the way back that, but kind of drop a year-over-year. And so it's just all based on history and what's actually happened. So what we've seen, we have seen more recalls at Ford and across the whole industry in the last couple of years or so. And so as that has occurred, what we've had to do is we've had to continue to look at the reserves and adjust them and that's what's happening in this quarter. It's based on a process that is disciplined, written in concrete. There is nothing behind this beyond just the update of the data and letting the date tell us that we need to increase reserves based on what's happened. Now, a couple of other things to let you know, is if we then have vehicles that are older, for example than 2008, and something happens, what we do is we actually have the impact to the flow right through to the bottomline, because we don't have any reserves in place. We can only hold them for as I said, maybe six, seven, eight years. If there is also an another little tweak on this, if there is an action that exceeds in the case of North America, $250 million of cost, we'll let that go right to the bottomline. So we wouldn't adjust our reserves if you will on a go-forward basis for that action, we just let it flow-through to bottomline. And actually we had in essence of that, 1 point last year. So this is simply a reserve adjustment as accounting, it's not cash, it's not related to any particular problem that we know of that we're concerned about. It's just an anticipation that something could happen based on what we've seen in terms of patterns of data over the model years that we're talking about. So based on that and letting our process work, we've increased the reserves in the quarter by about $400 million in total and most of that is related to what I've talked about in terms just of just topping up the reserve. So hopefully everybody understands that and recognizes this and it is what it is, but it's not a problem per se.
Colin Langan - UBS: And how often is that calculation done? Is it a quarterly analysis that you do or is that an annual?
Robert Shanks: This particular adjustment is we conducted, what are called sort of deep dives twice a year in the first quarter and the third quarter. So that's why it's happening in this quarter. And if I go back, because I did go back to and I expected that you guys might ask about what happened in the past and looking at 2013, and we actually didn't have much that was taking place for '13. We have one quarter where we have some reserve adjustment going up coincidently in that quarter. We also had a supplier recovery on a particular action, which sort of offset that. So that's why we didn't call, either the recovery or the reserve adjustment up, because they were sort of offsetting each other.
Colin Langan - UBS: One last question. I believe in your comments you said that North America margins should be in the 8% to 9% range. You're starting up with 7.3% and there is a lot of launch cost in the second half of the year. Is that a still the valid range to think about for the full year or did I mishear that?
Robert Shanks: No, absolutely, because when you think about the first quarter, we were at 7.3% including in all the things that we've just been talking, the weather issues, the reserve adjustments. So if you think about the run rate of the business in the quarter, we were nearly at 10% in North America. As the year progresses we have a lot of new products that will be coming in addition to the For-Series. Some of that will give us some favorable product mix. This quarter we had favorable, unfavorable series mix and options, but that will start to be offset by favorable product mix as the year progresses. The other thing I think that is different than where we were three months ago, we guided to the fact that we thought North America would have negative pricing for the year. And certainly we see that in the quarter, but as we look ahead, I think we're starting to see the possibility of that being maybe more flat, maybe potentially somewhat positive, because the overall environment has been a bit more positive, more disciplined across the industry in general than what we maybe thought would be the case three months ago. Mark, anything to add?
Mark Fields: No, as just mentioned earlier as we look at that 8% to 9%, we're looking at additional production opportunities on the current F-Series, which all things being equal, could actually pushes up in the upper range of that, but we have some work to do.
Operator: Your next question comes from the line of Ryan Brinkman with JPMorgan.
Ryan Brinkman - JPMorgan: There have been a couple already on China and Asia Pacific, but I'd like to approach it from a little bit different of an angle. Obviously, the results there are quite strong despite the impact of some pretty aggressive, growth-related investments. So I am curious what comments that you could make regarding the potential earnings power of this region a few years out, after which presumably, we could see some tapering of the growth investments?
Robert Shanks: Well, we've said I think, Ryan, for quite a long time that we thought towards the mid-decade or so that the region would contribute very meaningfully significantly to the bottomline of the company. And I think that's still our point of view. We expect this to be one of the larger regions of the business going forward. It is largest region of the world in terms of industry and we're making great progress and taking and participating in that. We also have capacity increases that are still ahead of us. We have more expansion of our product portfolio ahead of this. As I mentioned earlier, we see India and Southeast Asia, maybe lagging a bit behind where we are in China in terms of the maturity of our investments there. So I think that's an opportunity down the road. So I think we feel like this will be a region that will definitely be a meaningful significant contributor to Ford's bottomline.
Ryan Brinkman - JPMorgan: And then for my second and final question. I guess, maybe just one on South America. You continue to take really a lot of price down there and at the same time some of the vehicle production forecasters, IHS, et cetera, they've recently slashed their expectations for sales and production in the back half of the year a lot, including for you guys. So I wonder if you think that it might be a concern as we transition to a potentially, I guess softer demand environment that it might become more difficult to continue to offset with price, the inflationary currency pressures as well as you have been in recent years.
Robert Shanks: Yes, I think it's different by market. We're actually, at least up till now, we've been able to more or less -- maybe it depends on timing of a quarter, because we've seen such significant deprecation that some times you can't fully recapture that all in a quarter. But I think in the case of Venezuela and in the case of Argentina, we've seen better ability to over a relatively reasonable period of time as to offset the effect of operating exchange weakness and/or low inflation. I think it's different in Brazil. It's a much more competitive environment. All that capacity, as you mentioned that's coming in, it's making that I think a tougher place in order to capture, to offset, if you will the effects that I talked about. I think the thing that is a positive for us though is the complete transformation of the portfolio. All the new products that are coming in, some are still ahead of us, because we're seeing an extremely favorable response from consumers, both in terms of what it's done for us in share, but also our ability to get a really healthy transaction price for those products. But nonetheless, Brazil is, as we've been talking about that for some time have been a concern around the competitive environment and all the capacity coming in.
Mark Fields: The only other thing I'd add to Bob's point about the product lineup and working on the revenue side, as you can imagine, following our process of looking at the business environment, the team there is very focused on looking at optimizing our footprint that we have down there. We are working on our logistical cost, which is very important, material cost reductions, seeing where we can accelerate localization actions and just overall structural cost improvement. So we are working both sides of the profit equation for that part of the world.
Operator: Your next question comes from the line of Rod Lache with Deutsche Bank.
Rod Lache - Deutsche Bank: I was hoping, just not to harp on this too much, but is the field service charge is a pretty big number. Can you just elaborate on how much of it is related to adjusting the pattern estimation model? How much of it is discrete and how much is older vehicles? You did mention that there were some '01 to '05 vehicles in there, which obviously is going to raise some questions, in light of what some others are dealing with. So what is the issue there? And maybe if you could just say specifically, what is the issue with the '01 to '05 models?
Robert Shanks: Yes, and they are all public. We have about $400 million associated with the field service actions, of that about $350 million relates to the '09 through '13 model years -- is it '08, '09? '08 through '13 model years. We then have two issues that were for the older model years. We have a Crown Vic Rim -- I think it's a Crown Vic Grand Marquis lighting control module that was a recall that was for the '03, '05 model years that was about $30 million to $40 million. And then we had and Escape subframe issue that was roughly $30 million and that was '01 through '04. And there was maybe about $10 million of just general offsets to all of that. Most of it is the reserve adjustments. The other two were relatively small.
Rod Lache - Deutsche Bank: So there is not like a review of historical vehicles or something like that that's unusual?
Robert Shanks: No, those are simply -- we're always looking at data to understand where we have issues. Those were things that clearly popped up and indicated that we had an issue for our normal process, addressing ASAP.
Rod Lache - Deutsche Bank: And just two more things. Just on your material costs have been in North America really big offset to the price and mix recently through the past three quarters in a row. Obviously, it's depended on timing of new launches. Could you just give us some thoughts on how we should be thinking about price mix versus materials looking forward? And then on China, you mentioned again that you have a lot of plans to expand that are in launching. And you previously said that higher launch costs are going to be a factor this year, but this quarter it seems like your cost structure was actually improved. So can you quantify the magnitude of the launch costs that you'd anticipate for this year?
Robert Shanks: In the case of North America for the full year, we still would expect to see I think positive material cost overall. We're seeing very good material cost reductions. We will have as the new products are introduced increases related to them. But because they're launching more second half, if you will, at least lot of the volume on a year-over-year basis, the affect will be probably more in '15 than in this year. In the case of Asia Pacific, what we're seeing there is, as you said the quarter doesn't indicate what we expect to see for the full year. But for the full year, we'll see more cost come in and that will largely be around spending-related manufacturing, more in terms of engineering and also advertising sales promotions as we launch and support the products. And then a general, admin and expense selling will go up. Some of that related to Lincoln and some of it just related to the overall growth of the business that we need to put resources in place to support it. So it's really across, I guess I'm saying all parts of the business, but it's going to be sort of a growth quarter-by-quarter as the business expands.
Operator: Your next question comes from the line of Pat Archambault with Goldman Sachs.
Pat Archambault - Goldman Sachs: Actually just sort of building on that last question on Europe, the losses were pared back more than I think a number of us had thought. Can you just give us a sense of sequentially how some of the cost cadence plays out because I guess you still have the big Mondeo launch right at Valencia, which I imagine is going to be sort of a headwind? And any other factors obviously, we're not thinking about as we sort of try and model that out?
Robert Shanks: I guess, I'd say, first of all, you know that there is a sort of a pattern to profits in general in Europe, usually the first half is better than the second half, third quarter, I don't that was the case last year, but third quarter is usually a weaker quarter, because of the extensive plant shutdowns that take place for holidays and so forth. Of course, all of that as you said, Pat, is dependent upon particular cadence of product launches that we have over the course of the year. But again, there, we've had some more launches and we're launching actually some things right now in Europe. So I don't know that I'd call out any particular thing in terms of the cadence of our structural cost going forward. I think probably the fluctuations up and down will be more around volume levels, and I don't think I would call anything else out.
Pat Archambault - Goldman Sachs: And one other one on South America. You might have said it, but can you kind of parse out what was sort of balance sheet remeasurement in Venezuela versus what was just kind of operating headwinds just from the lack of volume? And maybe can you give us a sense of just what you are seeing on the ground there? I mean it sounds like production is at a standstill. I understand visibility is poor, but what are the prospects for that to improve in coming quarters?
Robert Shanks: You're talking about Venezuela specifically?
Pat Archambault - Goldman Sachs: Yes.
Robert Shanks: So maybe Mark can comment. And I'll just in terms of the balance sheet effects of the amount that we talked about on Slide 7, $310 million of that is Venezuela specifically, about $70 million is related Argentina. And then on a year-over-year basis, you can see on Slide 14, the year-over-year basis, the balance sheet effect was roughly half of what we're seeing in total. And of that, a good portion of that -- well, actually most of the overall effect is actually Argentina and Venezuela, and a bit of Brazil.
Mark Fields: From a volume standpoint and industry standpoint in Venezuela, as we said last quarter, what we did in the fourth quarter of last year was literally cut our production by three quarters versus the running rate, in the first three quarters of 2013. And what we mentioned is that's our assumption going forward, the remainder of 2014. And when you look at the industry development to put it in perspective, the first quarter of last year, the Venezuela industry was about 113,000 units on a SAAR basis. This year it's 12,000 units. So I think we've baked those assumptions into our plan and we'll continue to watch the environment there and also continue to support Venezuelan customers at the same time minimize their exposures.
Operator: Your next question comes from the line of Itay Michaeli with Citi.
Itay Michaeli - Citi: Just going back to the warranty item in the quarter, Bob, just why wouldn't that also potentially impact other regions if you are assessing sort of the overall experience just given the company's global platforms and commonality?
Robert Shanks: Well, because in part some of the products may not be in some of the regions. I mean we do the same reserve analysis everywhere. You also have different suppliers, in some cases the products are tailored to different design, different powertrains. So they are global, but there are differences region-by-region. We also as we launched, we don't launch everything all of one time, so as we launch in one region, then the next, then the next, then the next, we kind of learned from the first region, and we kind of build those learnings into a launch at the next region including design changes and so forth. So it's not all apples-and-apples, if you will.
Itay Michaeli - Citi: Then just second question, hoping to gauge your temperature on the mid-decade 8% to 9% margin outlook. I know in December you labeled it at risk citing Europe. It seems like Europe is probably going better, Asia is certainly going better, but South America going worse. So maybe just give us an update of what you are thinking. Is that more at risk, less at risk or roughly the same today than it was in December
Mark Fields: I don't think at the moment I'd say anything different.
Operator: Ladies and gentleman, we will now take questions from the media. Your next question comes from the line of Dee-Ann Durbin with Associated Press.
Dee-Ann Durbin - Associated Press: Alan, it's time for my quarterly question about your future. There is some speculation out there, obviously that the leadership change is going to happen earlier than the end of this year. Can you comment on whether the plans have changed?
Alan Mulally: Well, clearly, we don't comment on speculation and we have no change to the plan. And I just want to point out is, is I think you well know is that Bill and I have put a great high priority seven years ago, that we would further develop our team worldwide and have a very robust leadership development and succession plan. And we're very, very pleased with the progress on that to date.
Operator: Your next question comes from the line of David Whiston with Morningstar.
David Whiston - Morningstar: A question on the credit line extension. Is that primarily being done to increase the capital liquidity or are you also expecting some higher CapEx than planned or even returning more cash to shareholders down the road?
Robert Shanks: No, it's just basically is, as we get bigger and as we continue to expand and grow, we thought it was prudent for us to take advantage of actually very strong from our global banking group and also very healthy capital markets for us to increase and extend the credit facility. The other thing that's kind of great about it is we're actually returning out sort of a normal credit facility, five year terms that I think it's first time we have been there for quite a number of years with this change. So we feel very positive about that too. So that's what behind it.
David Whiston - Morningstar: And the incentive spending in North America, I know you have got some pretty tough comps in the U.S. given how well you guys have been doing there, but this quarter unfavorable headwinds from volume and mix combined with the incentive spending. Are you guys more just playing defense now for now until the next generation F-Series is out?
Mark Fields: Well, I think overall when you look at our incentive spend, we look at our incentive spend in conjunction with our overall margins and transaction prices. And when you look at our transaction prices, they're at the top end of the industry and it kind of reinforces the margin that we have in North America. Clearly, in a number of our products, they're kind of late in their lifecycle, so we're accounting for that and also at the same time as those new products come on that will offer us opportunities once those products are launched. So that's kind of the way we're looking at balanced and making sure we profitability grow and take care to that.
Robert Shanks: And David, I would just add that in the quarter comparison, which just what you've seen in the data today, a bit of that is if you will a difficult comp because last year we had just launched the Kuga and we had just launched the Fusion. And they were in very, very high demand. We had very tight supplies. And so incentive levels for those products were very, very low and those are high volume products for us. Now, more normal if you will.
Operator: Your next question comes from the line of Jeff Flock with Fox Business Networks.
Jeff Flock - Fox Business Networks: Mr. Mulally just to confirm and to clarify what you said earlier, I'm sorry that I have ask about this, but there you go. Earlier, I believe you said you were going to skip to the plan in terms of succession, and I think if I recall correctly, you said that you plan to serve through the end of 2014. Does that then indicate that the plan, that that you will serve through the end of 2014, can you clarify that?
Alan Mulally: Jeff, no change to the plan.
Jeff Flock - Fox Business Networks: Well, I appreciate that clarification. And the rumors that you're going to coach the Detroit Lions, is that still a non-starter?
Mark Fields: Yes. That's very interesting, but Bill has a great plan for the Lions.
Jeff Flock - Fox Business Networks: So just to confirm, no change to the plan that was announced earlier in the plan, which was, you plan to serve through the end of 2014?
Mark Fields: No change to the plans, yes.
Operator: Your next question comes from the line of Karl Henkel with Detroit News.
Karl Henkel - Detroit News: One quick question back to the warranty reserve, is there any way that you kind of put that in context, how big is that reserve? And I guess being up $400 million versus Q1 of 2013 in that department, I guess what is it a typical year-over-year increase when you look at the reserve directionally heading upward?
Robert Shanks: Two responses there, one at the end of last year, our total warranty reserve, which would include for field service actions was $3.9 million for the company. And in terms of the second question, I mean this is an unusually large increase. And as I mentioned earlier, if I go back and look at the four quarters of last year, we did not have something of this magnitude occur. So this is unusual. That's exactly why we're calling it out, so that everybody understands the run rate of the business, because you wouldn't expect something like this to happen quarter-in and quarter-out.
Karl Henkel - Detroit News: I guess is there any significant impact, as a follow-up, on just the global sales growth for Ford over the last few years and looking into the future having a significant impact on that number increasing further or am I kind of looking into that too much?
Robert Shanks: You mean related to the warranty reserve increase?
Karl Henkel - Detroit News: Yes.
Robert Shanks: I don't think so. Because, again, I think what you're seeing across the whole industry is all OEMs are responding very, very quickly in general to the issues that they see. Vehicles have a lot more technology and that they're far more complex. So I just think that this just seem to be more of a general industry phenomenon. And unfortunately, because we don't like product recalls on field service actions, unfortunately that's been our history as well over the last couple of years. But it's really an industry phenomenon.
Alan Mulally: And also, Karl, if you look from our perspective, we're really pleased with the value level we're seeing, really all-time record highs in some parts of the world. And even here in the U.S. we're starting to see some encouraging quality data, which hopefully will then lead through to a better performance, based on the reserves we set up. But as we said, we're very committed to delivering best-in-class quality to our customers and everybody is focused on that encouraging signs.
Operator: Your next question comes from the line of Mike Ramsey with Wall Street Journal.
Mike Ramsey - Wall Street Journal: So if I say that the warranty reserve is reflective of a larger number of recalls over the last several years, not just for Ford, but also for the industry. Is that an accurate statement?
Robert Shanks: The warranty reserves are going up because of our experience. What I am trying to say is that our experience though is not necessarily unique, if you will, to the automotive industry, you are seeing more and more companies, higher number of recalls, higher number of units being affected, and that's an industry phenomenon. But what drives our warranty reserves is our experience.
Mike Ramsey - Wall Street Journal: And just as a follow-up, I think it was 2007, wasn't there inverse of this that was beneficial? There was a big readjustment of warranty reserves some time I think it was 2007, am I crazy or does anyone remember those?
Robert Shanks: It could have been because one of the things that as I mentioned, we only hold these reserves for about six or seven years. So when that oldest year, if you will, is ready to run off as we move into the next calendar year. If there is anything left in that reserve that hasn't been used, we release it. So it's possible that could have happened back in 2007, somewhere in that timeframe. I actually kind of remember something like that as well, Mike, but I know we've had situations like that.
Operator: Your next question comes from the line of Alisa Priddle with Detroit Free Press.
Alisa Priddle - Detroit Free Press: Just first question for Mark, if you could just clarify, when you say you want to get more production of current F-150, so are you talking about running more over time in plants or changeover schedule or what kinds of things that you're looking at?
Mark Fields: We're working very closely with our supply base. In terms of seeing if they can support some additional production opportunities and that may mean running more over time at some of our -- whether it is Dearborn Truck as we run out the existing model and get ready for the new one or in Kansas City where, as you know, we're not launching that plant till next year. So, yes, it's so far encouraging, more work to do, but it involves the whole team. And the good news, Alisa, is it's really based on market demand. And as we said, if you look at the month of March and another month where we sold over a 70,000 F-Series, so the demand is out there, customers really like the product, the existing product. And we're going to trying to get as many as we can to them.
Alisa Priddle - Detroit Free Press: So you're not talking about changing any of the dates of changeover?
Mark Fields: No.
Alisa Priddle - Detroit Free Press: Those are locked in.
Mark Fields: Those are locked in, making more out of the time, we do have.
Alisa Priddle - Detroit Free Press: And then, Alan, so it sounds like you'll still be with us on the next earnings call.
Alan Mulally: No, change with that.
Operator: Your next question comes from the line of John Murphy with Bank of America
John Murphy - Bank of America: Two quick questions for you. First, when you guys were on Slide 12 and talking about the drivers of a slight market share deterioration, you mentioned daily rent and small cars declining. It seems like that is kind of a trend that has been happening, but also something you might be doing more actively as your larger vehicles are getting more fuel-efficient and particularly as we think forward to the launch of the F-150 where you guys have alluded to the fact that it will be net accretive to your CAFE measurements and standalone on its own. Are we sort of seeing the precursor in the potential for you to deemphasize the not so profitable small car business as we go forward?
Mark Fields: Absolutely, not. We're focused on delivering what customers want and it's not really driven -- those are kind of not the way we're thinking about it. We're thinking very much from a customer and a market-end standpoint. As you know, we're doing well with our car lineup. We're doing well with our truck lineup. And we're going to go wherever the customer demands with that full family of vehicles.
John Murphy - Bank of America: But if they demand larger more fuel-efficient vehicles and not so many small cars, you will go that direction. You will go where the market goes?
Mark Fields: Well, we're always going to match capacity to demand, and in the context of running a good business and a profitably growing business.
John Murphy - Bank of America: And then a second question. You guys mentioned $2 billion of the new credit facility would be allocated to Ford Motor Credit. Just curious what that is relative to history and are we seeing more capital being allocated to Ford Motor Credit, so you can grow that business significantly sort of similar to where it was historically?
Robert Shanks: No, we haven't done that before and we're doing that so that we can allow them to diversify their overall funding structure. So it's just a better balance sheet for Ford Credit to support their, own overall funding structure.
John Murphy - Bank of America: So it's less of a reliance on the securitization market and more of a reliance on your sort of on-balance sheet financing now?
Robert Shanks: No, it's also to support, we had something called FCAR in the past, which we're actually moving away from it. And we're going to replace that with more unsecured debt and this is just part of supporting that.
Operator: Ladies and gentleman, that concludes the question-and-answer session. I would now like to turn the conference back over to Mr. George Sharp for closing remarks.
George Sharp: Well, thank you everyone. That wraps up today's presentation. We're really glad that you were able to join us.
Operator: Thank you for joining today's conference. That concludes the presentation. You may now disconnect. And have a great day.